Operator: Greetings, and welcome to the Oshkosh Corporation's Fourth Quarter Fiscal 2013 Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Pat Davidson, VP of Investor Relations for Oshkosh Corporation. Thank you, Mr. Davidson, you may begin.
Patrick N. Davidson: Thank you. Good morning, everybody, and thanks for joining us. Earlier today, we published our fourth quarter 2013 results. A copy of the release is available on our website at oshkoshcorporation.com. Today's call is being webcast and is accompanied by a slide presentation, which includes a reconciliation of non-GAAP to GAAP measures that are used during this call and it's also available on our website. The audio replay and slide presentation will be available on our website for approximately 12 months. And please now refer to that presentation -- to Slide 2, excuse me, of that slide presentation. Our remarks that follow, including answers to your questions, include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different from those expressed or implied by such forward-looking statements. These risks include, among others, matters that we have described in our Form 8-K filed with the SEC this morning and other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. Now all results stated on this call are for continuing operations attributable to Oshkosh Corporation, unless stated otherwise. Also, all references on this call to a quarter or a year are to our fiscal quarter or our fiscal year, unless stated otherwise. Our presenters today include Charlie Szews, Chief Executive Officer; Wilson Jones, President and Chief Operating Officer; and Dave Sagehorn, Executive Vice President and Chief Financial Officer. So please turn to Slide 3 and I'll turn it over to you, Charlie.
Charles L. Szews: Good morning, and thank you, Pat. We're pleased to announce another solid quarter and very strong results for fiscal 2013. I'll start out with a review of the quarter, highlight some results for the full year, and before moving on to a discussion of the individual segments, I will review our performance versus the MOVE targets we announced at our Analyst Day in September 2012. Our team closed out a strong year with solid fourth quarter results. Adjusted earnings per share for the quarter of $0.49 contributed to full-year adjusted earnings per share of $3.74, above the top end of our most recent estimate range. Improved operating income margins in the Access Equipment and Commercial segments partially offset the expected significant decline in our Defense segment sales in the quarter. The MOVE strategy is driving improved financial and operational performance and our outlook for the business remains positive. As a result, this morning we announced that our board has approved reinstating a dividend, with the first quarterly cash dividend of $0.15 per share payable on December 2 to shareholders of record as of November 18. Through our disciplined capital allocation strategy, improving margins and historically, strong free cash flow, we believe we can sustain and grow the dividend. We also believe that we will generate sufficient free cash flow to sustain regular share repurchases, although it's our intent to be more opportunistic in this area. We did repurchase over 700,000 shares this quarter, and have now repurchased about 202 million of shares against our $300 million share repurchase authorization. Finally, we are pleased to announce our initial expectations for 2014 earnings per share of $3.10 to $3.40. During our third quarter earnings call, we said that we may not have a linear path to earnings from 2013 and 2015 due to our stronger-than-originally-expected performance in 2013, as well as the expected significant sales decline in our Defense segment in 2014. We expect higher sales and operating income in each of our non-defense segments in 2014, but we do not expect these improvements to be quite enough to overcome the previously-communicated Defense decline. However, these expectations are comfortably ahead of our internal targets for 2014 earnings as of the Analyst Day, and we strongly believe that we are on track to achieve our 2015 EPS target range of $4 to $4.50. We'll further explain that belief in a few moments. Please turn to Slide 4 for a brief discussion of our full-year results. It was an excellent year for Oshkosh, one that demonstrates the power of our MOVE strategy. Despite slightly lower revenues due to a 23% decline in Defense sales, we posted higher earnings for the company and grew revenues in all nondefense segments and operating income margins in all segments. Adjusted full year earnings of $3.74 per share were $1.14 per share above the high end of our initial estimate range of $2.35 to $2.60 for the year. That's a 44% improvement over our initial estimate range. We also generated $386 million in free cash flow and returned $202 million of capital to our shareholders through share repurchases. Daily structured execution of our MOVE strategy and deployment of the Oshkosh Operating System have been keys to our performance. We are building the skills of our 12,000 employees to better serve our customers and continuously improve our processes. And it shows in our results. Please turn to Slide 5 for a review of our performance relative to our 2013 MOVE targets. Let's take a few minutes to assess the progress of our MOVE initiatives in 2013, and update our projected performance in 2015. The bottom line is that we are -- we clearly performed well in 2013 versus our MOVE initiatives and we believe we're on track to achieve our 2015 EPS target range of $4 to $4.50. Now, not every initiative is as far along as we want it to be, but overall, we're on track in executing countermeasures to drive all initiatives toward target or above. As you can see, we expect to achieve or exceed our O, V and E 2015 targets, and we currently believe we'll be below target in the M initiative in 2015. Essentially, we believe our O, V and E initiatives will enable us to overcome a slower market recovery to achieve our 2015 targets. In terms of the market recovery initiative, in 2013 we saw continued improvement in the North American Access Equipment market and the U.S. concrete mixer market. The European and Australian Access Equipment and North American refuse collection vehicle markets underperformed expectations in 2013 and have caused us to project the M initiative in 2015 to be below target. But there are signs that each of these markets will improve in 2014 and we believe it is still possible that the M initiative could achieve target in 2015. We'll also provide more color on these markets in a few minutes. We made very good progress on our O initiatives in 2013 and we expect to exceed our 2015 target as we maintain a focus on improving our product, process and overhead costs. We estimate that projects implemented in 2013 will drive about 110 basis points of the 130-basis-point margin improvement that we had targeted for 2014. So we are off to a good start on this initiative for 2014. Value innovation initiative results did not meet our target for incremental revenue from new products in 2013. We made some engineering management changes mid-year, reallocated resources. We made structural changes to our product development stage gate reviews to bring this initiative back on track. We believe customers and shareholders will like the results of our countermeasures with new launches that we expect in 2014 and 2015. We expect to be near target with this initiative in 2014 and back on target by 2015. We achieved our 2013 target for international sales. We continue to invest in international business development resources and believe we're on track to achieve our 2015 target of growing international sales to greater than 25% of total sales. Finally, as I mentioned earlier, we believe we are positioned to achieve our most important target, earnings per share of $4 to $4.50 in 2015. In fact, I am more confident today in our ability to deliver our earnings per share target for 2015 than I was at our 2012 Analyst Day. Of course, we need to execute and our markets need to sustain slow recoveries. We have great products and an outstanding team committed to meet this target. Please turn to Slide 6 for a discussion of our Defense segment. As we described in our last quarterly earnings call, we are building Defense vehicles at a substantially reduced rate following production stepdowns in February and June 2013. Our team has done a great job of managing our cost structure to these lower production levels, while at the same time, allowing the Defense team to pursue opportunities around the globe. We completed shipments of M-ATVs to the UAE this quarter, and look forward to delivering more vehicles to international customers in 2014. Of course, we continue to seek additional international sales opportunities. For example, in December, we'll be submitting our proposal for the Canadian MSVS program. Test vehicles are due in January 2014, and there will be extensive testing and evaluation ahead of the planned contract award in June 2015. The program calls for approximately 1,500 heavy tactical vehicles, with deliveries expected to be from late 2016 through 2017. It'll be an intense competition, and we're working hard to deliver the best value solution to the Canadian government. Let me close with some comments on our JLTV offering. We're 1 of 3 finalists competing in the EMD Phase for the JLTV competition. We delivered 22 of our high-performance, fully integrated vehicles to the government early in August for testing. We'll be actively supporting the government's rigorous tests and evaluation schedule on a 14-month test period. We don't expect to be able to report on the progress as the government testing plays out, but we will be happy to answer questions that you have regarding the overall parameters of the program. And one item that we are focused on with this program is assuring certainty of our bid costs. We were pleased to recently agree to a 5-year contract extension with our union-represented production employees in Oshkosh. The contract extension represents a true partnership with our employees and will result in certainty of our production labor costs for future programs, including the JLTV. The extension makes the contract effective through 2021. We are grateful to our employees for their commitment to serving our military customers and positioning Oshkosh to be -- effectively compete for the JLTV program. Let's turn over to Wilson and please turn to Slide 7.
Wilson R. Jones: Thanks, Charlie. Good morning, everyone. The Access Equipment segment closes out the year on a high note with continued strong operating and financial performance. This is a direct result of the great progress we have made with our MOVE strategy. This segment was first to begin working on our MOVE cost optimization initiative. I know that several of you have visited our operations this past year and you've seen the benefits firsthand as you've walked through the aisles of McConnellsburg, Shippensburg or one of our other locations. The Access Equipment market continued to be driven primarily by replacement demand in North America and independent rail companies returning to the market for new equipment. Outside North America, our markets were mixed in 2013, but the outlook is better for 2014. Europe appears to have turned the corner and we expect growth, albeit slow growth in that region in 2014. A number of our primary markets in Western Europe experienced a lengthy winter and flooding in 2013, so we could also benefit from a longer construction season in 2014. We believe that the Middle East will continue to be strong and grow in 2014. And that Latin America will continue to move forward, but at a more modest pace. Finally, we expect year-over-year growth in the Pacific Rim, supported by our return to growth in Australia following a down year in 2013. To close out the segment, I like to address our plans for product processing in 2014. Several weeks ago, we announced to our customers our plans for a general price increase of up to 3%, depending on the model for aerial work platforms and telehandlers. This pricing, which is an addition to a pricing increase for required Tier 4 engine upgrades, will go into effect on January 1, 2014, and is applicable across the globe. Please turn to Slide 8 for some comments on our Fire & Emergency segment. We still have work to do on this segment, but we exceeded our expectations for 2013 and we're gaining traction with our margin improvement initiatives. Stronger municipal orders allowed us to report a higher backlog and higher international sales supported improved revenue in the quarter. Our municipal orders continue to pick up in most regions around the U.S., but I should caution you that the pace was measured and still a little uneven. While we've seen evidence that municipal spending is improving, we have not seen that same improvement from our federal customers. We believe that the federal business has bottomed, but we don't expect an upturn in federal demand to start until 2015. Operational improvements are a key component of the O in MOVE. The team in our Bradenton, Florida facility has made significant strides in improving their operations. This is critical as we expect the improvements we deliver with our MOVE strategy will drive benefits for many years. And global customers have responded to our efforts to expand the business. The Fire & Emergency segment grew its international revenues on a year-over-year basis in 2013 by more than 20%, largely through the success of offering high-quality first branded firetrucks, as well as our Oshkosh branded global strikers in markets throughout the world, especially in Asia and South America. Stay tuned for more anticipated good news from our Fire & Emergency segment. Let's turn to our Commercial segment. Please turn to Slide 9. MOVE activity has gained momentum in the Commercial segment as we continue to implement improvements in our operations that will drive down our cost structure. We are happy with our progress, but recognize that we have much opportunity remaining. Concrete placement products demand in the U.S. benefits most directly from improving housing starts, and we saw this again in the fourth quarter in the form of higher year-over-year sales for concrete mixer trucks. The improving market conditions have driven increased competition as we have seen some competitors become more aggressive. We will keep an eye on this as we seek to win business through superior quality, reliability, lower lifecycle costs and our market-leading customer support network. Turning to our refuse collection products. Our fourth quarter RCV sales were up year-over-year as we thought they would be, but we're down on the full-year basis as was the market. We believe this market will show improvement in 2014, but we also need to deliver on our value innovation, MOVE initiative in this business to drive improved RCV sales. I'll hand it off to Dave now to review our financial results for the quarter and comment on our expectations for 2014. Please turn to Slide 10.
David M. Sagehorn: Thanks, Wilson, and good morning, everyone. As Charlie mentioned, 2013 was successful on a number of fronts. We're pleased that we were able to deliver stronger-than-expected earnings as we executed our MOVE strategy. Consolidated net sales for the fourth quarter of 2013 were $1.73 billion, a 15.8% decline from the fourth quarter of 2012. The decline in consolidated sales compared to 2012 reflected a significant decline in Defense segment sales, which was expected and which we have previously discussed. Sales in each of the nondefense segments were up compared to the prior year quarter. Access Equipment fourth quarter sales grew 8.9% compared to the prior year quarter and continue to be largely driven by favorable market conditions in North America, along with higher incremental pricing in aftermarket parts revenue. Sales in Australia this quarter remained weak. Adjusted consolidated operating income for the fourth quarter was $78 million or 4.5% of sales compared to adjusted operating income of $108.9 million or 5.3% of sales in the fourth quarter of 2012. 2013 fourth quarter adjusted results exclude a $9 million non-cash intangible asset impairment charge recorded in the Access Equipment Segment and $3.8 million of cost in the Defense segment related to a recent extension of a union contract from 2016 to 2021. The reduction in consolidated adjusted operating income and adjusted operating income margin, compared to the prior year quarter, was largely a result of the decline in the Defense segment, along with higher corporate expenses, offset by improved performance in the Access Equipment and Commercial segments. Access Equipment Segment adjusted operating income margin increased 330 basis points from the prior year quarter to 11.6% on an 8.9% sales increase, reflecting a better product sales mix, net pricing impact and continued contributions from cost optimization initiatives. Defense segment adjusted operating income margin declined to 2.9% in the fourth quarter, compared to 6.6% in the prior-year quarter, largely due to the approximate 46% decline in sales compared to the prior year. Further information about segment fourth quarter results can be found in the appendix to this morning's slide presentation. Corporate expenses in the quarter were $52.1 million compared to $34.4 million in the prior-year quarter. The change, compared to 2012, is the result of the impact of the significant increase in our share price on variable stock-based compensation, higher IT investment and expenses associated with September 2013 stock-based compensation awards. Adjusted earnings per share for the quarter was $0.49 and full year adjusted earnings per share was $3.74, both the top end of our most recent guidance for the full year. During the fourth quarter, we repurchased 712,000 shares of common stock at a total cost of $32.8 million. That brings the total number of shares repurchased under our $300 million share repurchase program to 6.1 million, at a total cost of $201.8 million. Earnings per share in the fourth quarter improved $0.02 compared to the prior-year quarter as a result of lower average diluted shares outstanding. Full year results improved $0.11 per share compared to 2012 as a result -- also as the result of lower average diluted shares outstanding. Please turn to Slide 11 for a review of our initial outlook for 2014. In the Access Equipment Segment, we expect sales of $3.3 billion to $3.4 billion, representing a 6% to 9% increase from 2013. We expect improved international sales will bolster expected continued strong sales in North America led by ongoing fleet replacement and the continued return of independent rental companies to the market. At this time, we are not planning for a significant contribution in 2014 from improving nonresidential construction market conditions. We believe this will be more of a contributor by 2015. We estimate that operating income margins in the Access Equipment segment will be approximately 13.5% to 13.75%, compared to an adjusted operating income margin of 12.5% in 2013, reflecting the continued impact of MOVE initiatives and expected higher sales. We estimate that Defense segment sales will decline to approximately $1.75 billion to $1.85 billion from $3.05 billion in 2013, a drop of 40% or more. These estimates are within the sales range that we discussed at our Analyst Day in 2012. We believe operating income margins in the Defense segment will be approximately 3.5% to 3.7%, which is above the 3% level that we estimated for 2014 at our 2012 Analyst Day. The Defense team has worked hard to adjust this segment's cost structure to reflect the significantly lower sales volume that we expect in 2014, while retaining the capability to win new business. In the Fire & Emergency segment, we expect sales of $800 million to $825 million, compared to $792 million in 2013, reflecting the slow recovery in the municipal fire markets that we've recently seen as a result of improving tax receipts. We expect operating income margins in this segment to increase to 4% to 4.5% in 2014 as we begin to see more the benefits of our optimizing cost MOVE initiative take hold in this segment. Commercial segment sales are expected to increase to a range of $850 million to $900 million, an 11% to 17% improvement over 2013, driven by continued strong recovery in the concrete mixer market, and an improving RCV market. Operating income margins in this segment are expected to be approximately 6.75% to 7%, reflecting the expected benefits of higher sales and the impact of other MOVE initiatives similar to the other segments. We expect corporate expenses will be near 2013's level as we continue to invest in IT initiatives and our Oshkosh Operating System. Our effective tax rate for 2014 is expected to be approximately 31% and we're assuming a full-year share count of 86.5 million. We expect to complete the remaining approximately $100 million of our $300 million share repurchase program in 2014, the benefits of which will be partially offset by the impact of scheduled vesting of stock-based compensation awards. Incorporating all these items, we believe 2014 consolidated net sales will be approximately $6.6 billion to $6.9 billion, down 10% to 14% from 2013. We estimate consolidated operating income will be in the range of $455 million to $490 million and earnings per share will be approximately $3.10 to $3.40. These amounts are lower than adjusted 2013 results, which was a possibility we noted during our third quarter earnings call. We expect solid improvement in the results of each of our nondefense segments in 2014, and we believe that we'll see further improvement from each of these segments in 2015, which we anticipate will allow us to attain our targeted $4 to $4.50 earnings per share in that year. A few comments on our first quarter outlook. The first quarter is typically a seasonally-weak quarter for us as our customers with exposure to construction markets in the northern hemisphere slow down their purchases of equipment. We expect to see this play out again in the first quarter of 2014. In addition, we will also see a significant year-over-year reduction in Defense segment sales and earnings, in line with the reduction that we've discussed. And we have a number of initiatives in process that we plan to start like our IT ERP systems upgrade that will result in spending during this seasonally weak quarter. As a result, we believe that we'll see first quarter earnings that are less than half of the adjusted earnings per share we reported in the first quarter of 2013. I'll close out my comments on 2014 with a few additional items. We expect free cash flow of approximately $200 million, which assumes $80 million of capital expenditures. Our estimated capital expenditures are higher than the last several years as we plan to make further investments to support our initiatives. We also have approximately $65 million of required principal payments that will be due on our term loan in 2014. I'll turn it back over to Charlie for some closing comments.
Charles L. Szews: Thank you, Dave. We just completed a successful 2013 with strong earnings and free cash flow. Looking ahead, we remain confident with a realistic outlook for our slowly-recovering markets. Our nondefense markets are improving and the MOVE strategy is delivering results. Yes, the Defense business creates a challenge for us in 2014, but it also offers the biggest potential for upside over the near-term if we are able to capture additional international sales opportunities. Our culture is strong. Our commitment is unwavering. We have a great team of experienced leaders. All these factors lead us to believe we remain on-track to achieve our 2015 EPS target range of $4 to $4.50. That concludes our formal comments. We're happy to answer your questions, so I'll turn it back over to Pat for the Q&A.
Patrick N. Davidson: Thanks, Charlie. [Operator Instructions] Devin, let's, please, begin the question-and-answer period of this call.
Operator: [Operator Instructions] Our first question comes from the line of Eli Lustgarten with Longbow Securities.
Eli S. Lustgarten - Longbow Research LLC: You kept beating by big numbers and the people expect you to continue doing it.
Charles L. Szews: I think we were above high end of our estimates for the year.
Eli S. Lustgarten - Longbow Research LLC: Yes, I guess the spin number was even bigger. Can we talk a little bit about -- last year, you gave -- you start off with extremely conservative guidance and blew through it completely. And again, I don't know whether you call this year's '14 conservative, but my real question is on Access Equipment, for 2 reasons: One, with 3% price increase plus emissions and what have been a pretty strong result, you've got a relatively -- 6% to 9% gain in market projected, which there's more pricing and it seems that you're telling us something about conditions in the marketplace as we go into fourth quarter into next year. Have rental companies pulled back? Are they shifting the mix? Can you give some idea of what's going on in the marketplace and the trend or orders through the quarter into next -- towards the end of the year? Because you're sort of suggesting probably a more calm market, I think, than people had expected.
Charles L. Szews: Okay. There are a lot of questions in there, Eli. We'll try to do our best, and I'm going to start and hand over to Wilson. Eli, it's early. We've -- we're right in the middle of annual agreement negotiations with the national rental companies. Those discussions and negotiations will continue probably through December, maybe into January. And so it would be premature for us to be bullish about a year until those negotiations are complete. You've probably listened to their earnings calls. The range from being flat, maybe up a little bit and perhaps up in categories other than aerial as well. So we're at that point that's pretty early in the fiscal year for us to be bullish. Having said that, you also heard them make comments that they expect strong non-residential spending increases in 2014 and if those things come to fruition, you'll see them increase their buying over the course of the year. So I think we're prudent with our guidance right now. It reflects what we've heard from the national rental companies. We do expect independent rental companies to come back into the market. We are seeing signs of improvements around the globe. And perhaps Wilson can comment more on that.
Wilson R. Jones: I think it's really 3 things, Eli. If you look at where we are in '14, we are seeing some non-res, but if you look at Global Insights, look at all the third-party advice out there, a lot more non-res in '15. We mentioned in our prepared remarks that Europe was getting better, Australia is getting better, but we see that as a better '15 than '14. So you're right, we are coming out a little conservative, and to Charlie's point, it is early. We're hoping that the fundamentals even get better, but for now we think we're at a good spot. We try to be realistic when we start the year. Obviously, if we can improve that, you know us, we're going to do our best to do that.
Eli S. Lustgarten - Longbow Research LLC: And can we just follow it up quickly? When you talk a bit about what's going on commercial and what it would take to the profitability of that business up to a more respectable levels than mid-single digits?
Charles L. Szews: Well, a couple of things, Eli. First of all, we've got our O initiatives and as we said really in a few different calls, that we started that O initiative in Access Equipment segment and then we followed up with the Commercial and Fire & Emergency. And I think you're seeing they are coming to the forefront with their margin expansion, following Access. So in '14 we are seeing -- I don't remember the precise number, but it's 100 to 150-basis-point improvement in margins in the Commercial segment. And we continue to expect to see continued margin expansion beyond that into 2015. We've got significant activities in the works. Plus, as the volume starts to pick up in this segment with housing recovery, we would expect some natural absorption benefits. So, I do think that you're seeing, over the next few years, much improved margins in that business.
Operator: Our next question comes from the line of Jamie Cook with Crédit Suisse.
Andrew Buscaglia: This is Andrew Buscaglia on behalf of Jamie. So I just noticed that you're -- if you move to Defense now, your base line assumption that you guys put out at your Analyst Day in September for $1.5 billion 2014, it's below what you guys have now forecasted at $1.75 billion to $1.85 billion. Same with margins, I believe the baseline target is about 3% and you guys are -- have guided ahead of that. So based on that, does that imply in '15, you're at a point where you can exceed your baseline targets? And if so, where do you feel more comfortable. Is it on the revenue or the margin side? And then I guess, on top of that, if -- do you think that 2014 could pull forward from 2015?
Charles L. Szews: I'll take the last part first. I don't see any pull forward. So that's not impacting us any pull forward from FY '15 into '14. We're not providing FY '15 guidance certainly by segment today. What we have said, today, is that we strongly believe that we're on track to hit our '15 targets of $4 to $4.50 per share. You also recall on my prepared remarks, I said that we see the biggest upside opportunities to be in our Defense segment. So that's all good. We're optimistic about international sales opportunities, don't have anything to announce today. And in this kind of environment, I couldn't tell you, at least today, the magnitude of it or when we might have some opportunities actually under contract. So those are all kind of wildcards in the international arena, but we are optimistic.
Andrew Buscaglia: Okay, that's helpful. And then just on the JLTV, you guys are testing right now. Do you have an updated timeline around that?
Charles L. Szews: Timeline is pretty much the same, it's 14 months of testing. We submit a proposal for production in 2015 and word [ph] sometime later in that fiscal year is the current timing.
Operator: Our next question comes from the line of Stephen Volkmann with Jefferies.
Stephen E. Volkmann - Jefferies LLC, Research Division: I was hoping we could kind of go back to Access and I'm just trying to sort of think through the cycle a little bit here, 6% to 9% growth next year. I guess, I would have thought you would get to a 3% of that from pricing and maybe another 2% or 3% from the kind of content with Tier 4 final. So it feels it me, like that is a fairly low number. Is there something going on in mix or something that might offset those tailwinds?
Wilson R. Jones: Steve, this is Wilson. I'll jump in and then if someone wants to add, just jump in with me, but no, it's really -- if you look at the market dynamics, Steve, we had a big year in '13. A little bit bigger in some areas than we expected. We are hearing some rumors that a few of the rental companies are going to focus on some other mix, specifically some dirt equipment. We don't think that will be significantly affect us, but it will move some things around pricewise. So all in all, we think that -- as I said to Eli earlier, we think we're coming out with a realistic forecast, but we're going to work to improve that as we go through the year.
Charles L. Szews: And we continue to remind you, it's early. A lot of the companies that we're negotiating with for annual agreements are still making their own decisions yesterday about what they're going to spend in 2014.
Stephen E. Volkmann - Jefferies LLC, Research Division: Okay. I understand it's early, but we got to push you guys a little bit. On the margin side, I guess, I had assumed that there would be a few positives going on mix-wise with respect to telehandlers versus aerials and with respect to independent rental guys versus nationals, are we still supposed to think in those terms?
David M. Sagehorn: Steve, I think we're largely going to see, I think a mix that similar to what we saw for the full year of '13 here based on our early view. I think, as Charlie mentioned, we'll and/or Wilson, we'll still continue to see more benefit from the independent rentals. It's continuing to come back into the market. So I think that will be a positive. And we talked about investments and initiatives. I think you're going to continue to see that in the Access Equipment Segment as well. So if we look at the margin improvement year-over-year, I think it's a good margin improvement, but there is a little bit of a drag from some of the investments that we're doing to continue to invest in the business and drive results forward beyond even 2014.
Charles L. Szews: And I think you need to put this in perspective, that the - what we're saying here today is that operating income next year we're estimating to go up 10% to 20% in the Access Equipment segment and this is early in the fiscal year. That doesn't sound as conservative as -- it seems that people are believing it to be right now.
Operator: Our next question comes from the line of Charley Brady with BMO Capital Markets.
Charles D. Brady - BMO Capital Markets U.S.: Just on Access, can you talk a little bit more about the independents this quarter and what you're seeing as far as indications and how that plays into your growth assumptions into '14?
Wilson R. Jones: Sure, I'll jump in here, Charlie, good to hear from you. We are seeing a nice increase in I.R.C. If you go back to last year each quarter was better. '13 finished the year-over-year better than '12. We expect '14 to be bigger. That's inflows as they get more financing, they come in. We do see it as changing our mix a little bit, this next year. I wouldn't say it's a significant change, but we do see some continued growth out of the I.R.C.s.
Charles D. Brady - BMO Capital Markets U.S.: Okay. Charlie, can we just go back to your comments on the Q1 where you said it's going to be essentially less than half of what it was last year, so less than $0.30 a share. Does that imply -- I mean, are you looking at Access -- Access will still be up year-over-year even though it's a seasonally weak quarter, correct?
Charles L. Szews: Yes.
Charles D. Brady - BMO Capital Markets U.S.: Okay.
Charles L. Szews: It is really driven by Defense.
Charles D. Brady - BMO Capital Markets U.S.: No, I get that, but -- I mean, you've really -- you've got to push some low growth expectations for even the other business, in particular, Access, just to push it down below $0.30. I'm just trying to make sure that you're looking for [indiscernible].
David M. Sagehorn: It's a big drop in Defense.
Charles D. Brady - BMO Capital Markets U.S.: Yes. No, I get that. On the corporate expense line, when you say flat with last year, are you excluding the $16 million proxy expense.
David M. Sagehorn: Yes.
Operator: Our next question comes from the line of Mig Dobre with Robert W. Baird.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: I'd like to stick with Access as well. But as you look out to your 2015 targets that you outlined back in 2012, you're expecting 7% growth in 2014. Getting anywhere near that 2015 target would imply something like 19% growth in 2015. And I'm wondering, is that target still achievable? And how do we get there as far as maybe U.S. versus international, independents versus large rental houses? Any help would be appreciated.
Charles L. Szews: Mig, as we said in the call, it is still possible to have growth like that in excess in '15. And it would be all around nonresidential spending. In North America we'll be the primary. You could also see Europe finally starting to pick up, Australia coming back. Those are big market, so this is very conceivable. You also tend to have better pricing leverage when the market is coming up like that. So I think there's plenty of opportunity to have a very robust Access Equipment segment in '15.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: Okay. Then if I look at Commercial, the orders there, at least to me, appear to be softening a little bit. I'm wondering, can you sort of give us a breakdown for how concrete mixers are doing? And again, what sort of underpins your confidence in your outlook or your revenue outlook for next year in Commercial?
Wilson R. Jones: Mig, it's mainly around timing. We had a big Q4 last year. Couple of big orders there, so that kind of skews the way the year finished. But I can tell you from an activity standpoint, we're very pleased of what's going on in October. Market seems to be very active. Much more active that we've seen in last 5 years. So we believe that, that trend will continue. Obviously, November and December are traditionally the slower months for commercial. So there may be a little tail off of some orders in those 2 months, but we do -- we are experiencing a good October right now and expect, again, year-over-year to go up in the mixer business.
David M. Sagehorn: Mig, I think we also need to remember that this is a market that's -- for several years was now more than 90%. We've had nice growth in 2013, but it's probably still down more than 60% to 70%.
Operator: Our next question comes from the line of Walt Liptak with Global Hunter Securities.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: I want to ask about the fire markets in your 2014 outlook, the 4% revenue growth at the high-end. Those markets should start picking up here with the housing recovery that's been going on in pent-up demand. And so I wonder if -- you commented on how you came up with your revenue number, as well as what you've done on the cost side to improve profitability there?
Charles L. Szews: Sure. If you look at this business, we probably have more of the federal business than the competition. So we're a little bit impacted more by that than our competitors, but late in the year we did see the municipal demand picking up, really around the country. So it looks pretty good in terms of an outlook and we would expect a higher municipal order of pace over the next few quarters. Of course, once you get an order, it's 6 to 9 months before it hits your P&L, right? So that's part of what you're seeing. In terms of margin enhancement, we've got a lot of projects underway to take cost out of the business. And I think at the high-end of our range we're looking at operating income up 50% in this segment in fiscal 2014. So -- I don't remember exactly what the percentage is in the lower end, but we're talking about a robust recovery here.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: Okay. This is a business that had done, I think, low teens operating profit margins in the past. Is there any reason it couldn't get back there with more volume?
Charles L. Szews: As a segment, we had never reached low teens. We are at 9.5%, 10%, or so, as a segment for a full year, so we didn't quite hit your numbers. But from what I am seeing in the business and from what we're able to do with the Oshkosh Operating System in the business, I think that the potential is better than what we have ever been able to deliver. But it's going to take 2 to 3 years to deliver that kind of improvement, because it's a lot of hard work. You have to redesign products, redesign processes and then it needs to hit your order book, which is always 6 to 9 months later. So it's a lot of hard work, but I think there's more potential today in this business than I've ever seen in it.
Wilson R. Jones: I would just add, Walt, with all that hard work that Charlie is talking about requires some investments. So that's why the 2- to 3-year to really get to these operating margins where we think they can be and all the segments -- the Commercial segments, we're working diligently with our Oshkosh Operating System to drive these cost improvements.
Operator: Our next question comes from the line of Pete Skibitski with Drexel Hamilton.
Peter J. Skibitski - Drexel Hamilton, LLC, Research Division: I just want to understand Access a little bit better. On the pricing increase you're seeking, I think you said 3% on top of Tier 4 pricing and your guidance, I think, is 6% to 9%. So are you assuming the revenue increase in 2014 is all pricing and that unit volumes are flat?
Wilson R. Jones: No, Pete. If you listened to what we're saying, we're saying up to 3%. So it's a model balance where we're adjusting model pricing based on regional pricing. So it's not a full 3%, but we are confident. 2013, we achieved good pricing realization in Access and we believe we're in the first stages of negotiations with our large customers there. So our goal is to work that out like we did last year where it's a win-win, but the increases is not all pricing, to really answer your question.
Charles L. Szews: It doesn't come into effect until January 1.
Peter J. Skibitski - Drexel Hamilton, LLC, Research Division: Okay. Okay. So total pricing increases is 2% to 3%, the balance is unit increases? Is that correct?
Charles L. Szews: Generally.
Peter J. Skibitski - Drexel Hamilton, LLC, Research Division: Okay, okay. And can you give me sense of whether or not AWPs and telehandlers kind of grow at the same rates next year? Or if you're assuming in your guidance one grows faster than the other?
David M. Sagehorn: Pete, I think we had said a similar mix we anticipate in '14 that we saw in '13.
Peter J. Skibitski - Drexel Hamilton, LLC, Research Division: Okay. Okay, understood. Let me throw in one Defense question as well. Just in terms of your assumptions, are you assuming we have the sequester takes place and we have a full year CR, which is, maybe, the worst-case scenario and if we do get a fiscal '14 budget pass, is there any upside to your forecast in Defense?
Charles L. Szews: By the time that would pass, it would probably impact our FY '15 numbers mostly. So I don't know that, that would make a whole lot of difference. We think we've got it -- pretty well pegged where our volume is going to come out, sequestration, CR, whatever situation we're in. I suppose that means that we're not that positive about where we think the budget situation is headed. So I don't see a whole lot of downside to where we are from an upside standpoint, that would probably come mostly from international sales opportunities and we need to get those under contract relatively soon to actually impact '14.
David M. Sagehorn: Pete, also, the significant amount of the backlog that we had at September 30 in the Defense segment was under contract already for fiscal 2014. So that should -- if there is sequestration or CR, I think we should be in a pretty good shape from a revenue standpoint.
Peter J. Skibitski - Drexel Hamilton, LLC, Research Division: Okay. Is aftermarket contribution, on a percentage-basis, going to change meaningfully next year?
David M. Sagehorn: I think with the sales decline, I think you'll see it be a larger percentage. But sales -- aftermarket sales have come down and we saw that through 2013, and I think that's a function of probably 2 things: One, the troop drawdown in Afghanistan, as well as some of the impacts from the first year of sequestration.
Peter J. Skibitski - Drexel Hamilton, LLC, Research Division: Okay. Absolute basis, do you expect it to come down a little bit more next year?
David M. Sagehorn: Flattish.
Operator: Our next question comes from the line of Rudy Hokanson with Barrington Research.
Rudolf A. Hokanson - Barrington Research Associates, Inc., Research Division: I want to go back to the Defense and I realize that you don't have particular contracts or orders that you can talk about. But you certainly sound confident that Oshkosh has a product that's going to be in-demand around the world and/or a product line. And I was wondering, Charlie, maybe, if you could talk a little bit about what products give you that confidence, something that could be sold in 2014 without having to be newly-designed or go through a long process like some of the others are right now? Which line? And then also geographically, what areas do you see, probably needing to beef up their Defense equipment? Again, this is more broad rather than asking if you have a particular order in hand.
Charles L. Szews: Sure. On a broad basis, we're pursuing more international sales opportunities, probably than any other time in our history. Okay, that's kind of broad and that's, I think, a big statement. So we've got a lot we're working on. And probably most of it will be focused in the Middle East. But we have pockets of opportunities in Europe, Latin America, and those are probably the key areas, Africa. So we are working pretty diligently. As I said before, we're optimistic. We see this as our biggest upside potential would be in our Defense business. But again there is a lead time here. And you need to get things under contract and then ship it. So we do need to see some contracts get signed in the next few months to be able to hit our '14 numbers, otherwise the opportunities will hit '15.
Rudolf A. Hokanson - Barrington Research Associates, Inc., Research Division: Could you, maybe, highlight which products, which trucks, which vehicles seem to be those of most interest internationally right now?
Charles L. Szews: Sure. Our M-ATV is clearly the model that has the most opportunity for international sales. But the MSVS program, for example, that's a heavy tactical vehicle, more like one of our heavy tactical vehicle platforms, I'm not going to say which one. But in addition, we're looking at logistics vehicles, we're looking at medium payload vehicles around the world, we're looking at refurb programs. So there's really significant amount of opportunity right now.
Operator: [Operator Instructions] Our next question comes from the line of Ann Duignan with JPMorgan.
Damien R. Fortune - JP Morgan Chase & Co, Research Division: This is Damien on for Ann. Could you guys just talk a little bit about the competitive environment in Commercial? Do you guys -- are you comfortable that your margin, they are sustainable there, given that you're saying the competition is getting more aggressive?
Charles L. Szews: Yes, we are confident in our ability here. We are projecting 100, 150-basis-point improvement in margins next year, I believe. And it's primarily focused around our own initiative. We've got number of nice things in the work -- in the works. I think in our overall scorecard, we talked about where we are -- that we have got about 110-basis-point margin improvement that we've already sort of implemented the projects for FY '14 of our original 130-basis-point target. So we don't have a whole lot more to sort of implement to hit our target. And it's pretty balanced across our non-defense segments. So I think we're going to -- we feel pretty good about our margin improvement opportunity in Commercial.
Damien R. Fortune - JP Morgan Chase & Co, Research Division: Great. And the competitors that you're talking about here, are they new entrants or some players that have -- that are just now pushing higher? Like what's the driver that's causing this increased competition there?
Charles L. Szews: They're not really new competitors. Everyone is trying to fill up their factories, I suppose, and so that's what we're seeing. On the other hand, we have a capacity for the market. And if the market really starts to grow like it should in the next couple of years, I mean, this market needs to come to us, we need to [indiscernible].
Operator: Our next question is a follow-up question from the line of Charley Brady with BMO Capital Markets.
Charles D. Brady - BMO Capital Markets U.S.: I don't know if you guys articulated or not. What's the -- do you have growth outlook embedded in your guidance for concrete and RCV that you could share?
David M. Sagehorn: We haven't -- I don't think we gave the quantification of it, Charlie. I think -- again we saw a strong growth in '13 in concrete. We expect to see pretty strong growth, again, just given where the market is. I think our comments on the refuse market is, that they ended up actually being down a little bit in '13. We think we're going to see small growth overall. I think in that market in '14 and I guess as it looks -- as it relates to our sales, probably mirroring what we would expect to see in the market.
Charles D. Brady - BMO Capital Markets U.S.: And in your comments at the top of the call on the M part of MOVE being below target. That is primarily the refuse market or across the other businesses as well?
Charles L. Szews: I think it's a little bit of refuse, because the refuse market was actually down this year and we have projected to be up 3%. We're looking at a modest growth in that market the next couple of years. We're also talking, I think, about Europe and Australia being, perhaps, a little bit weaker in '15. That's our current view. Of course, if you recall, we said we expect to overcome that with our other initiatives to get to our target of $4 to $4.50 in 2015 and we also said that it wouldn't take much for us to be wrong in those markets to come back and deliver the kind of where that we originally projected. We just think that there's a little bit of caution to be had here. And that we should tell you the breadth of what we see.
Charles D. Brady - BMO Capital Markets U.S.: All right. I wonder if you can just comment, you've got some bonds that are callable in -- sometime in March of '14. Have you given any thought to what you would do? Would you -- are you willing to recall those -- they're 8.25% bonds?
David M. Sagehorn: Charlie, I think if the market -- bond market would hold where it is today, I think that's something that we would strongly consider. We'll have to see where the market is in March when we get there.
Charles D. Brady - BMO Capital Markets U.S.: All right. One more, I'll hop off. Can you give us the share count -- the exact share count at the end of the quarter?
David M. Sagehorn: It was 86.2 million, I believe.
Operator: There are no further questions at this time. I'd like to turn the floor back over to management for closing comments.
Patrick N. Davidson: Okay, thank you. Our sights are firmly set on our fiscal 2015 targets. We'll continue to work, day in and day out, to execute and drive towards these targets for you our shareholders. Hope to see many of you at the Baird Industrial Conference next week. Have a great day, everyone.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.